Operator: Good day, ladies and gentlemen, and welcome to The Toro Company First Quarter Earnings Conference Call. My name is Regina and I will be your coordinator for today. At this time, all participants are in listen-only mode. We will be facilitating a question-and-answer session towards the end of today’s conference. (Operator instructions) As a reminder, today’s conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today’s conference, Mr. Kurt D. Svendsen, Managing Director of Corporate Communications and Investor Relations for The Toro Company. Please proceed, Mr. Svendsen.
Kurt Svendsen: Thank you and good morning. Joining me for our first quarter earnings call are Mike Hoffman, Chairman and Chief Executive Officer; Renee Peterson, Chief Financial Officer; Tom Larson, Vice President and Treasurer; and Blake Grams, Vice President and Controller. We begin with our customary forward-looking statement policy. During this call we will make certain forward-looking statements which are intended to assist you in understanding the Company’s results. You are all aware of the inherent difficulties, risks and uncertainties in making predictive statements. The Safe Harbor portion of the Company’s earnings release, as well as SEC filings detail some of the important risk factors that may cause actual results to differ from those in our predictions. Our earnings release was issued this morning by Business Wire and can be found in the Investor Information section on our corporate website, thetorocompany.com. I will turn the call over to Mike.
Mike Hoffman: Thank you, Kurt. As reported in this morning’s first quarter earnings release, we achieved a solid start to the year based on strong showings in both our professional and residential businesses. Net sales for the quarter increased 10.6% while earnings per share increased 22.6%. Renee will discuss our results in greater details shortly. Since our last earnings call in December, we announced two acquisitions that will enable us to increase our presence within the golf market and expand into a promising new business. The first announced on December 9th involved a greens roller product line from Graden USA. The practice of rolling greens provides a smooth finish to the grass, thus enhancing the quality and playability of the putting surface, as well as helping to improve the health of the greens. This acquisition fills an important gap in our golf line and bolsters our leadership in greens maintenance, a position we established back in 1924 with the introduction of our first greens mower. The new lines rollout has been well-received by our distributors and golf course customers. The second acquisition announced on February 10th included the utility and underground product assets of Astec Industries. This acquisition allows us to offer a new range of Toro products to both current and new customers, and to enter a new category closely aligned to our existing businesses. The products acquired include horizontal directional drills, trenchers and vibratory plows. The line covers a functional gamut from creating trenches for new residential and professional irrigation systems to installing, repairing or replacing utility lines while minimizing the collateral impact by going underneath landscapes or structures. Potential customers include landscape and irrigation contractors, municipalities, as well as telecommunications and utility companies. The Astec Products are particularly exciting given the synergy with our site work systems products and an addressable market for horizontal drills and trenches of about $500 million. As a company, we tend to enjoy significant market share in most of our businesses. Just because we have those types of market shares in the turf and irrigation arena, it doesn’t guarantee that we can do it in the ground engaging space. But if we can execute successfully – and we intend to – this opportunity holds potential market and share growth well in to the future. It will take successful product innovation to take share away from existing competitors, but we have recent examples of where we have done just that. For both F12 and F13, we anticipate a combined effect from these acquisitions of less than 1% of revenues due to manufacturing transitions and tier-four constraints, and the potential integration and development cost of $0.10 to $0.15 against EPS. However, we believe these additions will be very meaningful in the long run. The integration and development clause include investment and bringing the line into compliance with tier-four emission standards, channel development, product enhancements, and modifications to our manufacturing and testing facilities to accommodate some of the products that are larger than our traditional offerings. Returning to our existing business, the first quarter offered encouraging signs across both our professional and residential segments. Golfers took advantage of the mild winter leading to an increase in the number of rounds played in November and December according to the National Golf Foundation. While the foundation have not yet reported numbers for January, in December, rounds played increased by more than 30%. Distributors report excellent preseason activity as golf courses continue replacing ageing equipment. Golf equipment retail is even ahead of last year’s strong activities. Momentum is being generated around a host of new mowing and maintenance products we unveiled in 2011, enabling us to continue to extend our market share lead. The landscape contractor segment capitalized on the unseasonably warm weather and much needed rain in certain drought-stricken sections of the South and Southwest, where contractors have seen their loan and maintenance reawakened. Both The Toro and Exmark landscape contractor businesses are seeing healthy shipments and early retail activity as contractors are beginning to replace worn out equipment with innovative products recently launched by both brands. Example of these new introductions include Toro’s 2000 Series commercial zero turn riding equipment for both acreage owners and contractors and Exmark’s turf management line featuring both Walk-Behind and Stand On Aerators, Turf Rakes and Slicer/Seeders. It’s worth noting that while snowbelt contractors often spent winter months plowing snow, some weathered the winter well due to the contracts they hold that pay for the season and not by actual plowing activity, resulting in lower cost and more profits this year because of the lower snowfall. Impervious to weather conditions, Indianapolis’ beautiful Lucas Field triumphantly hosted Super Bowl 46. The Toro sports fields and grounds team once again proudly contributed to the event success, by helping prepare the field of play. While Lucas Field sports artificial turf, Toro work with utility vehicles, ProForce blowers and key personnel were on duty hauling equipment and staff and preparing the playing surface. While perhaps not as glamorous as the Super Bowl experience, the sports field and grounds business is also finding alternate paths to success, by meeting the needs of local government agencies. Municipalities still feeling the effects of shrinking budgets are taking reliable solutions to increase the productivity of their reduced workforces. Toro’s industry-leading large rotary mowing equipment has presented a timely solution for local authorities and sparked sales for this growth category. In some cases, municipalities are in stronger buying positions than a year ago since reduced snow removal expenses free up funds that some will use for new spring equipment purchases. Although many homeowners have yet to fire up their snow (inaudible) this winter, our residential business posted first quarter gains. While early in the season, spring retail is off to a good start. Consumers’ and retailers’ enthusiastic acceptance of our cutting-edge zero turn riding products and walk power mowers generated early demand for shipment of spring goods to dealers and the Home Depot alike. Our residential business also benefited from stronger demand for our Pope branded products in Australia, where weather was a major problem for the first quarter last year. As you might imagine, winter’s failure to make a meaningful appearance so far this year in much of the snowbelt came to what had been a promising start. Heavy snowfalls last year along with an early Eastern blizzard this winter fueled heavy snow Toro shipments and retailed through November. However, once the moderate temperature trend set in, retail demand in shipments of both whole goods and parts subsided. Barring winter suddenly returning with intense vengeance, inventory in both field and Toro warehouses will likely be somewhat heavier at season end. Consequently, third and fourth quarter preseason snow shipments are expected to be somewhat less than last year. As you know, due to its potential volatility, we managed the snow business to prevent the type of costly scenarios we experienced in the early 80s. While we admittedly would have preferred more typical seasonal weather conditions, our current position is readily manageable. In a business related to market served by our newly acquired Astec products, our site work system sales were up for the quarter as a result of strong demand from rental companies that are benefitting from improved construction environment. As we witnessed during the rental tradeshow earlier this month, rental companies have a very optimistic outlook as they prepare to replace ageing equipment. During the show, we unveiled our new STX-38 dedicated stump grinder. Rental professionals, contractors and arborists have asked for a machine that provides greater productivity to tackle larger tree stumps. This latest addition to our tree care equipment line answers their call with more horsepower, easy controls and faster transport speeds. The STX-38 is planned to be produced and shipped in the second half of the year. In addition to the robust purchases by rental firms, our position in the business was recently affirmed by our being named the 2011 Lawn and Garden Supplier by the rental team of the True Value Company. Before I turn the call over to Renee, I have a few comments regarding our micro-irrigation results. Superior product, increased capacity and timely delivery helped us capture new sales and additional market share as growers continue to adopt more efficient means of irrigating their crops and conserving precious water resources. Speaking of capturing new sales and market share on January 30th, the first shipment of Toro Aqua-Traxx cape rolled out of our new plant in Romania to serve the Eastern European market. With that, we’ll move along to our financial results and Renee Peterson. Renee?
Renee Peterson: Thank you, Mike. Good morning. I look forward to seeing many of you next week at the Golf Industry Show. As Mike mentioned, net sales for the quarter increased 10.6% to $423.8 million. Foreign currency only added $2.5 million to our net sale. Net earnings rolled at 15.3% to $19.9 million or $0.65 per share; a 22.6% increase versus last year’s first quarter return of $0.53 per share. Our first quarter revenue, net earnings, and earnings per share results all set new company performance records. Breaking it down by business segment, professional worldwide sales totaled $283.8 million, an increase of $25.6 million or 9.9% over last year’s first quarter. Worldwide shipments of golf equipment and micro-irrigation remains strong, along with additional sales for Unique Lighting, which was required late in the first quarter of 2011. Customer interest in new products and upgrades of aged equipment drove retail sales growth across most product lines. Domestic sales growth was strong. Total international sales growth was modest with solid growth across Europe and Australia. Asia sales declined due to a reduction in new golf course project versus first quarter of last year. Net earnings for the professional segment rose to $42.1 million, an increase of 11% over last year. Turning next to the residential segment, sales for the first quarter increased 11.6% to $137.6 million. The unseasonable winter weather helped generate early demands for walk power mowers and zero turn riding products, while unfortunately also dampening sales of snow product and repair parts, which somewhat offset gains. More favorable weather conditions in Australia helped to boost the retail segment’s overall contribution to the quarter on the strength of our line of Pope irrigation products. First quarter earnings for the residential segment totaled $12.6 million up 10.9% from the same period last year. Transitioning to first quarter operating results, our gross margin declined by 110 basis points to 34.6%. The impact on our gross profit was primarily due to unfavorable product mix and trade expense. One of the mixed issues that was related to lower residential snow equipment in part sales. Increased rate costs were largely due to higher international sales of residential equipment. These impacts were somewhat offset by price increases. Looking forward, identified cost reduction efforts should yield benefits in the second half of the year. We continue to expect gross margins to improve over last year, just slightly less than our original guidance due to additional acquisition integration cost. SG&A expense as a percent of sales for the quarter was down 200 basis points to 26.6%. The decline reflects further leveraging of administrative cost over improved sales volume and the comparison against higher warranty cost in the first quarter of last year. We continue to spend in engineering at a level equal to last year. With the majority of investments to integrate the Astec products expected to negatively impact SG&A, we’re expecting SG&A to be flat to slightly higher as a rate to sales for the year. Interest expense for fiscal 2012 first quarter was $4.4 million, up 7.6% from last year. Effective tax rate for the quarter was 33.8% compared to 29.3% last year. The higher tax rate was due to the expiration of the federal research and engineering tax credit compared to last year’s reinstatement in retroactive credits. We anticipate that our effective tax rate will be about 34% for the year. Accounts receivable totaled $175.5 million, up 2.5% from the same period last year, and a sales increase of 10.6%. Receivables are in good shape as we enter our primary selling season. Net inventories were up 13.7% to $272.5 million. (inaudible) engines that we mentioned during our last call represent the largest contributor to the increase. These engines are expected to be incorporated into finished goods and shipped during 2012. Another portion of the increase is finished goods built in anticipation of international spring needs. And finally, the lack of in-season snow led to a higher yet manageable level of snow Toro inventory, not unlike seasons passed. These units will be held to meet anticipated demand later this year. Trade payables increased 1.4% to $151.8 million. Altogether, our working capital is turning back in the right direction. We expect to end 2012 in line with our best working capital performance at just under 14% of sales. Now for look forward, I will turn the floor to Mike.
Michael Hoffman: Thank you, Renee. As our primary selling season approaches, customers generally have been positive about the season ahead and are encouraged by small times of improvement in the economy and business outlook. As we expected heading into the year, our international business has faced tougher economic challenges. Europe is a particular concern. While opportunities clearly exist and our key European markets like the UK and Germany are healthier than many of their neighbors, our first quarter international sales growth lagged behind our domestic results. Golf course development has slowed in China due primarily to land use disputes. However, our business is holding up as existing customers are replacing equipment. We expect to see increased demand from Japan as part of that nation’s ongoing recovery from the devastating earthquake and tsunami that struck last year. We also anticipate upside in our micro-irrigation business around the world. There are a number of additional reasons for continued optimism for the year that outweigh the challenges overseas. We continue to win in the marketplace on new and existing domestic golf equipment packages. Furthermore, the rapid adoption of mow and roll greens maintenance practices presents a significant and timely opportunity for our new roller line. We also anticipate late season equipment purchases by customers wishing to avoid the higher prices of new tier-four compliant products. The tier-four admissions requirements that apply to most of our diesel products take effect on January 1st, 2013. In golf irrigation, we are well-positioned to help thousands of existing clubs that have aging irrigation systems and upgraded them to the latest and precision water management technology using the full range of Toro irrigation solutions. As Renee mentioned, next week we head West for the Golf Industry Show. Strong early registrations for the show suggest customers broadly share an upbeat outlook for the coming season. During the show, we will be announcing some exciting new products and feature upgrades that I will tell you more about during our second quarter call. Landscape contractors have adjusted their business models to manage in the sluggish economic times and more in winter. Enthused by the innovative new Toro and Exmark products and the increased efficiencies they bring to their business, contractors are investing a new equipment in order to capitalize in what they anticipate will be an early spring. Some have already seen increased interest in new landscape design, installation and maintenance projects as their customers reallocate unspent snow removal budgets. Not to overlook our homeowner customers, lawn and garden whole good shipments picked up in January as customers brought in inventory to get a head start on spring. Shipments included an exciting array of new products including our highly anticipated TimeMaster 30-inch Walk-Behind Power Mower. Also the new Toro corded and cordless lithium ion string and head trimmers offered the latest in convenience in green technology. In irrigation, the Toro Precision Soil Sensor is bringing state-of-the-art professional sensing and wireless water management technologies to the residential market. This convenient, affordable advancement will equip homeowners to irrigate more efficiently; thus conserving water and reducing their utility bills. A Unique Lighting solutions line is now fully integrated in helping beautify nigthscapes across the land. The new Flex Series LED drop-in lamps deliver enhanced output and color while saving energy compared to traditional halogen lamps. In preparation for next winter, we’ll also be launching several new snow models at compelling price points. Considering all these factors, we expect 2012 net earnings to be about $4.20 per share, which as I stated includes approximately a $0.10 to $0.15 per share cost to account for the investments in the integration of new products primarily from the Astec acquisition. For the second quarter, the company expects to report net earnings and approximately $2.10 per share. With the completion of a strong first quarter and recent acquisitions, the company now expects a revenue increase for fiscal 2012 of about 6% to 7%. By the way, if and when we achieve the anticipated revenue growth, the company will surpass the $2 billion mark for the first time, which would represent a significant milestone in our destination 2014 journey. This concludes our prepared remarks. I will now turn the call back to the moderator for your questions. So, back to you, Regina.
Operator: (Operator instructions) And your first question today comes from the line of Jim Lucas with Janney Capital Markets.
Mike Hoffman: Good morning.
Mike Wherley: Good morning, guys. This is Mike Wherley standing in for Jim.
Mike Hoffman: Hi, Mike.
Mike Wherley: I was just wondering. On the residential side, you talked a little bit about the early sell-ins, the retailers. And I was just wondering, what is your general sense of the level of optimism by the retailers about this year’s season?
Mike Hoffman: Well, I think it is just that. It is a sense of optimism. I think it starts with when we compare against last year’s spring season, it was poor, let’s just say that. It was a cold late spring ahead of a major impact on their retail. And so the probability of comping well against that is certainly over-weighted to the other side. So they are optimistic and we’ve got a number of new products that are targeted to put on their floors and put on their shelves that will help us as well. And they’re seeing that already. The Southern markets have been relatively warmer and there has been good moisture now in some of those drought-stricken areas. And on a small base, retail, year-over-year is up nicely for walkers, for riders. And as we’ve said in the past about snow as an important piece of business, it’s a small part of our revenues. We would much rather have a good spring, if you will. We like both. But if we had to make the tradeoff, good springs trump snowfall.
Mike Wherley: And just moving on to the field inventories then, what do you see there right now?
Mike Hoffman: Field inventories not surprisingly are up somewhat given some of the early selling of spring products, I‘d still say they’re in excellent shape. We’re going to carry a bit more snow. But we’ve kept a good part of that snow back here. So, well, field inventory of snows up somewhat, it’s not a significant number. And we’re starting to see the retail for riders and for walkers pick up. The retail, again, year-to-date is very strong and so we’ve shipped in to meet that.
Mike Wherley: Great. And then last. I just wanted to ask for a little bit of color on your comment on municipalities and how some of them in the snowbelt didn’t have to spend much money on that. Are you actually seeing more activity there or have you booked more orders there or is that just sort of a general sense that you have that they have a little bit more in their pocket?
Mike Hoffman: Well, part of that is a general sense. What we know, Minneapolis is a good example that they’re not spending as much on snow removal. They spent hardly anything across the snowbelt. With that said, not all capital or not all expense money is going to be converted to capital. But regardless, the municipal market remains in pretty good shape. We saw the more significant downturn in ’10, but as we’ve moved into ’11 and’12, that businesses come back. And some of that ties back to the types of products that will help them drive more productivity and lower their cost. So, all in, the municipal market is healthy.
Mike Wherley: Okay. Do you get the sense that there’s any pent-up demand left there or is this sort of a new reset where you’re at right now in that market?
Mike Hoffman: That’s a good question. We know assets for both golf and the larger municipal customers were leveraged to a greater extent than in historically as a result of what we went through in ’09 and ’10. And going back to golf as an example, it continues to be strong. Is that a result of the recovery? Is it a result of that pent-up demand? It’s hard to be precise about that. Are they looking for equipment transitions to newer technology? All those things play a role, but they’re all favorable right now.
Mike Wherley: Okay. Thanks for all of your help.
Mike Hoffman: Thanks, Mike.
Operator: Your next question is from the line of Sam Darkatsh with Raymond James.
Mike Hoffman: Good morning. I think we lost that one, Regina.
Josh: Can you hear me now?
Mike Hoffman: Yes.
Josh: Okay. Sorry. This is [Josh] filling in for Sam.
Mike Hoffman: Good morning, Josh.
Josh: Good morning. In your sales guides could you break down what your thoughts are on the pro versus residential?
Mike Hoffman: We typically do not do that. Again both will be, as we talked about, the upcoming season, both will be benefitted we believe from a comparison to last year. So as we commented earlier in the remarks, golf revenues are up and that certainly is helping the golf market to have more income to deploy, to invest, if you will. We think we should comp very favorably on the residential side because of Mother Nature more than anything as we head into March, April, May timeframe. So both are expected to be up.
Josh: Okay. And then this $0.10 to $0.15 of charges related to the acquisitions, what’s the timing of that? Is that all going to be in this next quarter?
Renee Peterson: Good morning, Josh. This is Renee. The timing of that really we expects to be pretty linear as we go through the remainder of the year. So it’s probably evenly spread.
Josh: Okay. And just to make sure I’m clear. You said that you expect SG&A as percent of sales to be flat to slightly higher and that includes these charges. Is that the whole reason for it? Or do you still expect no leverage on an organic SG&A basis?
Renee Peterson: You’re correct that we expect SG&A to be flat as a rate to sales are slightly higher and really the impact is the inclusion of the acquisition integration cost as we go forward. So that’s what really brings us to that pretty much flat to a little bit higher rate.
Josh: Okay. And then just a bit of housekeeping. What are your thoughts in a share repurchase and for where your share count will be for the year?
Tom Larson: Josh, this is Tom. We do plan to buy insurance back this year. As you see, we did – or as you will see we did very little in the quarter. It was less than $5 million worth. And we did about $130 million worth last year. And we are planning on being somewhat less than that, spread out through the remainder of the quarter. And the share reduction through the year of average shares of outstanding would be roughly similar to last year, probably slightly more than that. But obviously that’s going to depend on the level of purchases that we do and what the timing ends up being, which depends on what other usage for cash that we have.
Josh: And are any of those repurchases included in the guidance?
Tom Larson: Yes. We have some in the guidance.
Josh: Okay. Thank you very much.
Mike Hoffman: Thank you, Josh.
Operator: Your next question comes from the line of Robert Kosowski with Sidoti & Company.
Robert Kosowski: Hello. Good morning, guys, and Renee. How are you doing?
Renee Peterson: Good morning.
Mike Hoffman: Hi, Rob.
Robert Kosowski: I was wondering, Renee, did you say the gross margin is expected to be down in 2012?
Renee Peterson: No. We’re expecting our gross margin from a total year perspective, Rob, to be up slightly from last year.
Robert Kosowski: Gross margin would be up slightly versus last year. And what are some of the buckets, the $0.10 to $0.15? I mean, is that mainly in SG&A? And kind of what do you need to do to spend on these acquisitions? How much of a capital spend is there as well? And additionally, how do you look at margins stepping up potentially in 2013 for the company as a whole?
Renee Peterson: Okay. Starting first with the acquisition integration cost, quite a bit of that cost relates to product enhancements and transitioning that product into our facility. So it’s primarily SG&A type of cost.
Robert Kosowski: Primarily SG&A for the $0.10 to $0.15? And how do you look at the margins turning in 2013?
Mike Hoffman: Well, that may be a bridge too far today, Rob. It’s a good question. I think it would be fair to say probably as much as we want to say about that today is we have destination 2014 goals. And as you know by 2014, we want to have this company be larger, right, with our organic growth and finding the right acquisitions, and to drive our operating margins up to 12%. We’re moving in that direction. Maybe not as quite as fast as we would like. And so, obviously, to get there, it means we have to improve ’12, it means we have to improve in ’13 and continue to improve in ’14. So that’s about as specific as we’ll be at this time.
Robert Kosowski: Okay. Then, finally, one more margin question. Within the first quarter, was pricing sufficient to offset the commodity cost increase and how much of a headwind was freight?
Renee Peterson: Well, we really did see our pricing basically offset material cost. So pretty much equal from a quarter standpoint. In freight, where we saw the freight expense really related to within the residential segment, we had a higher mix of international within residential than domestic. And just that is the more expensive freight shipment versus a domestic shipment. So, had we had the same mix that we had last year, in the first quarter of this year, our gross margin would have been essentially equal to last year’s gross margin.
Robert Kosowski: Okay. That’s helpful. And just any comments on the micro-irrigation market. Is that still very favorable longer term outlook? And how far is Romania towards kind of reaching the studies they level to envision when you’re ramping the plant?
Mike Hoffman: Romania is moving along nicely. So we have a number of lines in there and they’re producing and they’ve come up to rate as planned. So we’re really pleased with what that team has done and how they’ve executed there and sort of starting to ship that product now. They’ve been a little bit challenged because Romania has had two or three feet of snow and that would be unusual, if you will. We’d prefer to have snow in snowbelt versus the farther Southern regions, but they’re managing through that. So Romania is up and running well. And back to the larger question, micro-irrigation continues to be an important area of focus for us. The fact is we need to manage water more precisely, use less of it and grow more food. So we’re hardly done with that yet. So that journey will continue and it’s a favorable journey we believe.
Robert Kosowski: All right. Thank you very much and good luck with the bounced year.
Mike Hoffman: Thanks, Rob.
Operator: (Operator Instructions) And it doesn’t appear that we have anyone else queuing up to ask a question at this time.
Mike Hoffman: Okay. Well, then thank you, Regina. And thank you all of you listening and the others for the questions. So we will look forward to talking to you in May when we report on our second quarter results and we will be hopeful at that time that we’ll have a lookback and said it was an early and warm spring. So, all the best to you and we’ll talk to you soon. Take care.
Operator: Ladies and gentlemen, thank you so much for your participation in today’s conference. This does conclude our presentation and you may now disconnection. Have a great day.